Operator: Greetings. Welcome to the Eagle Point Income Company's First Quarter 2021 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. . Please note, this conference is being recorded. I'll now turn the call over to Garrett Edson of ICR. Garrett, you may begin.
Garrett Edson: Thank you, Rob, and good morning. Before we begin our formal remarks, we need to remind everyone that the matters discussed on this call include forward-looking statements or projected financial information that involve risks and uncertainties that may cause the company's actual results to differ materially from those projected in such forward-looking statements and projected financial information. For further information on factors that could impact the company and the statements and projections contained herein, please refer to the company's filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law. A replay of this call can be accessed for 30 days via the company's website www.eaglepointincome.com.
Tom Majewski: Thank you, Garrett. And welcome everyone to Eagle Point Income Company's first quarter earnings call. We appreciate your interest in Eagle Point Income Company or EIC. If you haven't done so already, we invite you to download our investor presentation from our website at eaglepointincome.com. I'll refer to several parts of that presentation during my remarks. For today's call, I'll provide a high level commentary on some of our first quarter and recent portfolio activity. Then we'll turn the call over to Ken who will take us through the first quarter financial results. We'll then end with a question-and-answer session from any investors.  Continuing our momentum from the second half of 2020, the company has started 2021 with another solid quarter. Our portfolio is performing well and all of our holdings are current on their interest payments. We have no assets whatsoever on nonaccrual. Net investment income for the quarter exceeded our distributions in the first quarter. And we also had some additional realized gains. Our NAV for the first quarter increased very modestly. In the broader market, corporate default rates are falling rapidly and the U.S. economy is growing at levels not seen in decades. Three months LIBOR remains quite low at around 15 basis points, which considering most CLO securities have a floor of zero is nearly as low as it can functionally go for us. If and when LIBOR moves up, that increase will increase the earnings on our CLO debt portfolio and as everything in our portfolio is floating rate and we believe that would then flow through to NII for the company. Our positive momentum accelerated in April. All the positions in our portfolio continue to . And based on management's estimates, April NAV increased by about 3% from the end of March. Due to our strong recent financial performance and our continued confidence in the company's future prospects, we were pleased to announce our second distribution increase last week. Beginning in July our stock will now pay a monthly common distribution of $0.09 per share, up from $0.085 a share that we saved during the -- our second quarter.
Ken Onorio : Thanks, Tom. For the first quarter of 2021, the company recorded net investment income and realized gains on investments of approximately $1.9 million or $0.32 per share. When unrealized portfolio depreciation is included, the company recorded GAAP net income of approximately $1.6 million or $0.25 per share. The company's first quarter net income was comprised of total investment income of $2.6 million and net realized gains of $0.3 million, partially offset by total expenses of $1 million and unrealized mark-to-market losses of $0.3 million. 
Tom Majewski: Thanks, Ken. We're very pleased with our portfolio’s continued cash flow generation and appreciation since the onset of the pandemic last year. We once again have comfortably out-earned our distributions for the quarter and even out-earned our new increased distribution rates. Our positive momentum is continuing into the second quarter.  The three key attributes why we remain so excited to be managing a BB rated CLO debt portfolio on range is true today as they did back in 2019 when we initially went public. The potential for lower credit expense as reflected by the load of historic default rates of BB rated CLO securities over the past 20 years, the potential for higher returns compared to similarly rated corporate securities, and perhaps most importantly, today, the protection BB rated CLO debt offers against rising interest rates. Certainly a lot of sentiment in the market today about rates moving up, more of it's been at the long end of the curve. Right now, at short end, certainly LIBOR remains at or near zero. To the extent that moves up, that's direct dollar for dollar benefit to the BB securities in our portfolio. We don't know when, but we're pretty sure on the  part. So stay tuned for that to happen as inflation continues to heat up and more and more focus comes into the short end of the curve. We thank you for your time and interest in Eagle Point Income Company. If there are any questions, Ken and I would be happy to field them.
Operator:
Operator: Thank you. At this time, I'll turn the floor back to Tom Majewski for closing remarks. 
Tom Majewski : Great. Thank you very much. Ken and I appreciate your interest today in Eagle Point Income Company and look forward to speaking to you in the future. Thank you. 
Operator: Thank you, everyone. This concludes today's presentation. You may disconnect your lines at this time and we thank you for your participation.